Operator: Good day, ladies and gentlemen, and welcome to Universal Display's Second Quarter 2017 Earnings Conference Call. My name is Don, and I will be your conference moderator for today's call. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Liu, Director of Investor Relations. Please proceed.
Darice Liu: [Audio Gap] President and Chief Financial Officer. Before Steve begins, let me remind you today's call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being web cast live and will be made available for a period of time on Universal Display's web site. This call contains time-sensitive information that is accurate only as of the date of the live web cast of this call, August 3, 2017. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, such as those relating to Universal Display Corporation technologies and potential applications of those technologies, the company's expected results as well as the growth of the OLED market and the company's opportunities in that market. These include, but are not limited to statements regarding Universal Display's beliefs, expectations, hopes or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I'd like to turn the call over to Steve Abramson.
Steve Abramson: Thanks Darice and welcome to everyone on today's call. We are pleased to report an across-the-board record quarter. Revenues in the second quarter of 2017 were $102.5 million, operating profit was $60.5 million, and net income was $47.2 million or $0.99 per share. In the past three months, additional datapoints have materialized, that reinforce the sustainability, strength and longevity of this exciting multiyear OLED CapEx growth cycle, that we are in the beginning stages of. From new product announcements, to new fab and capital expenditure plans, to a flourishing amount of OEM design activity, OLED momentum continues to build. With this growing momentum, we are raising our 2017 revenue guidance range to $285 million to $300 million, reflecting approximately 40% to 50% year-over-year growth. Sid will provide further details shortly. Our solid performance is due to the talent, dedication and hard work of the entire UDC team. I would like to take a moment to thank our employees and our partners for their commitment to excellence and innovation. With the OLED ecosystem continuing to grow, so are the announcements from news reports. Samsung, according to reports, is expected to build the world's largest OLED plant with a capacity output of 180,000 to 270,000 Gen-6 substrate starts per month. If those estimated outputs materialize, then the new plant would more than double Samsung's current and total capacity. Timing is still to be determined, but if construction starts later this year, production is expected to begin sometime in 2019. Additionally, Samsung is reportedly looking to expand its OLED offerings further into the IT market for tablets, laptops and monitors. With a total available market in excess of 430 million units, according to Gartner, penetration in the OLED IT market could significantly expand the square meters of production capacity. Last week, LG Display announced it will invest over $15 billion in OLED capacity through 2020. According to reports, LG Display will invest $4.5 billion for Gen-8 and Gen-10.5 OLED TV production in Paju and $9 billion for Gen-6 flexible OLED production for small- and mid-size displays in Gumi and Paju. In addition, LG Display has decided to establish a $2.3 billion joint venture to build a Gen-8.5 OLED TV production line in Guangzhou, China. According to LG, these investment plans were prompted by their confidence in the growing OLED market as the customer base for OLED TVs and size displays expands, the consumer demand for OLEDs in mobile and automotive markets rapidly increases. Moving on to China; in May, BOE Technology commenced operations of its first Gen-6 flexible OLED fab, with mass production expected early next year. Also in May, BOE and Tianma both exhibited a variety of great, beautiful, thin OLED displays at SID Display Week, including flexible and foldable displays, ultra high-resolution displays for VR and full-screen panels for smartphones. And in June, TCL's China Star broke ground on its first Gen-6 LTPS OLED fab in Wuhan. With an investment of approximately $5.1 billion, China Star is expected to begin production in the second quarter of 2019 and achieve mass production in the first quarter of 2020. Japan, we are pleased to see activity picking up. During the quarter, we announced an extended and updated evaluation agreement with Japan Display. Additionally, Sharp is reportedly planning to develop OLED TV panels, with an initial investment of $0.5 billion for a pilot line in Sakai, Osaka Prefecture. The new production line is expected to start operations in the second quarter of 2018. Sharp is reportedly also planning to mass produce small and medium-size OLEDs for laptops and smartphones. Switching gears to OLED lighting; Audi unveiled its 2019 A8 model last month with optional OLED rear lights. OLED lighting offers extremely homogeneous illumination that can be smoothly dimmed to any level of brightness. OLED lighting does not require any reflectors, light guides or similar optical components. The new Audi A8 is the first high volume automotive series to offer OLED rear light and an OLED interior display, as the A8 will also have a rear passenger remote control using an OLED display. As OLED activity continues to grow, we are working diligently to broaden our core competencies to further expand our market opportunities. Our incredible team of scientists and engineers is continuing discovering and developing new emissive materials and technologies, including new reds, yellows, greens and hosts to meet the ever-growing and ever-evolving specifications for our expanding customer base. On the blue front, we continue to make excellent progress in our ongoing development work for a commercial phosphorescent blue emissive system. We believe that we are getting closer to being able to deliver an all-phosphorescent emissive stack with the color, lifetime and efficiencies that our customers need and want. We are also investing in organic vapor jet printing. OVJP is a novel manufacturing process for mask-less, solvent-less dry direct printing. We believe that OVJP has a potential to revolutionize the manufacturing of large-area OLED TV panels. While still a few years from the commercial OVJP system, we are pleased with the progress we are making and the key R&D milestones we are achieving, including 4K and 8K resolution. If you would like to see how the process works, we've recently launched an OVJP animation video illustrating our technology on our web site. Please check it out. On that note, let me turn the call over to Sid.
Sidney Rosenblatt: Thank you, Steve. And again, thank you, everyone, for joining our call today. Revenues for the second quarter of 2017 were $102.5 million compared to second quarter 2016's $64.4 million. Our total material sales were $46.8 million in the second quarter, sequentially flat from last quarter's $46.6 million and up year-over-year from the second quarter 2016's $22.3 million. For the second quarter of 2017, commercial material sales were $30.9 million and development material sales were $15.9 million. With a number of new materials being introduced into the marketplace, we saw our development revenues grow quarter-over-quarter. Since the vast majority of these developmental sales are materials that are being scaled up for high-volume commercial production, we think discussing total material sales, which consists of both development and commercial, provides a better picture of our overall results. Consequently, we will provide total material sales by color going forward. Now for the second quarter of 2017, total green emitter sales, which include our yellow-green emitters, were $32.1 million, down 4% sequentially from first quarter's $33.3 million and up 110% from the comparable year-over-year quarter's $15.3 million. Total red emitter sales were $13.7 million in the second quarter, up 7% sequentially from the first quarter's $12.8 million and up 104% from the comparable year-over-year quarter's $6.7 million. As we have discussed in the past, material buying patterns can vary quarter-to-quarter. Some of the contributing factors to this can include consumer product and demand cycles, capacity ramp schedules, production-loading rates, contractual volume pricing reduction, product mix, material ordering patterns and customer production efficiency gains. Since a number of these factors are moving variables for our customers, they are also moving variables for us. As a result, quarter-to-quarter forecasting remains difficult. Moving to royalty and licensing. Our second quarter 2017 royalty and license fees were $53.7 million, up 28% from $42 million in the second quarter of 2016. This includes a Samsung license fee which is recognized in the second and fourth quarter of the year. Costs of sales, which includes Adesis cost of sales, for the second quarter of 2017 were $11.3 million, up year-over-year from the second quarter 2016's $5.7 million. The increase is due to emitter sales more than doubling year-over-year. Costs of material sales, which only relates to OLED material and does not include Adesis cost of sales, were $9.9 million, translating into material gross margins of 79% in the quarter, up year-over-year from the second quarter's -- of 2016's material gross margins of 75%. For the year, we continue to expect our overall material gross margins to be in the 70% to 75% range. Second quarter operating expenses, excluding cost of sales, were $30.7 million, up year-over-year from the comparable quarter's $24.7 million and slightly up quarter-over-quarter from Q1's $30.5 million. The primary contributing factors to the year-over-year increase include incremental quarterly amortization expense of $2.7 million from the acquisition of the BASF OLED IP portfolio and Adesis and incremental operating costs associated with Adesis and compensation expense. For the year, we continue to expect OpEx, excluding amortization, to be up around 10% to 15% year-over-year across the board. Operating income was $60.5 million for the second quarter of 2017 compared to $34 million for the second quarter of 2016. For the second quarter of 2017, we reported net income of $47.2 million or $0.99 per share compared to $21.8 million or $0.46 per share for the same quarter in 2016. Second quarter 2017 income tax expense was $14.1 million or a tax rate of approximately 23%. Without ASU 2016-09, our second quarter 2017's tax rate would have been approximately 24%. For the year, absent the effect of ASU 2016-09, we now expect our tax rate to be approximately 25%, plus or minus a few percentage points. Shifting to the balance sheet. We ended the June quarter with $380 million in cash, short-term investments and long-term investments or over $8 of cash per share. The company also announced today that the Board of Directors approved a cash dividend of $0.03 per share on the company's common stock. The dividend is payable on September 30, 2017, to all shareholders of record as of the close of business on September 15, 2017. Moving along to guidance. Based on customer discussions, current operating levels, product mix as well as other major variables, our expectations for 2017 have increased; and we are raising our full year's guidance. We now expect our 2017 revenues to be in the range of $285 million to $300 million. With that, I'll turn the call back to Steve.
Steve Abramson: Thanks, Sid. We are at a very exciting stage in OLED adoption. With its unique form factor, manufacturability on plastic and brilliant picture quality, OLED is providing a vast range of opportunities, including unprecedented applications. As the OLED market continues to expand, should do the pathways of our top line and bottom line growth. Over a span of 2-plus decades, we have consistently invested to build the critical mass and sustainability for our strong leadership position in the OLED ecosystem. Like any business platform, leveraging first-mover advantage in scaling investments and resources creates strong long-term market leadership positioning. For our first 17 years, we were an R&D company, so we understand how long and how difficult it is to go from idea to lab, lab to fab, fab to meeting the ever-changing commercial specs, to scalable high-volume production. Through those 20-plus years, we have accumulated an insurmountable wealth of knowledge and know-how; expanded our extensive IT matrix; and built up our R&D prowess to innovate, develop and deliver new materials and technologies for our growing customer pipeline. Fortifying our innovation engine is our operational flexibility and strength to streamline and scale our proprietary phosphorescent technology from invention, to pilot, to mass production. In summary, the OLED revolution is gaining momentum, and so are we. With our tremendous experience, unwavering focus on execution and expanding OLED product portfolio of new materials and technologies, we are and will continue to be well positioned to leverage the vast opportunities in this thriving market; drive profitable growth; and deliver the most energy-efficient, high-performance and cost-effective emissive layer solutions to our customers and partners. On that note, operator, let's start the Q&A.
Operator: [Operator Instructions]. And we'll take our first question from Brian Lee with Goldman Sachs.
Brian Lee: [Technical Difficulty] New emitter starting in Q4 of last year. And then based on your results, the volumes have clearly been strong year-to-date. So wondering if they've started to get pricing discounts on those new emitters and if that happened in Q2 or if you expect that to happen in Q3?
Sidney Rosenblatt: Brian, we missed the very first part of your question. It didn't come through. Can you just repeat the first part?
Brian Lee: Yeah. Sorry about that. So just on the largest customer, they started buying new materials, new emitters from you starting in Q4 of last year. Clearly, they bought a lot, based on your results here year-to-date, so wondering if they got pricing discounts on those new emitters this quarter or if that will happen in Q3.
Sidney Rosenblatt: We do expect some discounts to kick in, in Q3, that -- because we have been selling quite a bit of material, developmental materials in the first and second quarter, but as you are aware, we do provide volume price breaks.
Brian Lee: Okay, fair enough. The China revenue, $5 million, it looks like, in the quarter, which is well and above the run rate over the past year. Two questions on that, is that predominantly one customer still? And then secondly, what kind of buying patterns are you guys expecting out of that region?
Sidney Rosenblatt: Well, it's predominantly one customer. However, it is starting, but they have not really built any high volume facilities that are kicking in yet. So we're seeing more and more materials being purchased, but they still are not in production.
Brian Lee: Okay. The comments Steve made on just getting closer to an all phosphorescent stack, any color, no pun intended, you can provide on that in terms of potential incremental developments that you can speak to? And then I'll follow up with one last housekeeping one and pass it on.
Steve Abramson: We'll continue with the color puns, Brian; but our confidence in developing a commercial phosphorescent blue does continue to grow due to significant R&D progress that we're making. We were getting closer to initial commercial specs, but we are not yet able to provide a time frame.
Brian Lee: Okay, fair enough. And then just last one from me, Steve -- or sorry, Sid, on the tax rate, 25%. Is that apples-to-apples versus the original 30% target you guys had provided earlier? And then with the ASU treatment, what will that tax rate actually end up being? And then just lastly, is 25% the rate for 2018 and going forward, or should it even be lower than that? Thank you.
Sidney Rosenblatt: The 25% is comparable to the 30%. There are a few things that occurred that reduced that rate in terms of some deferred tax issues. But we expect that 25% to be their going-forward rate. The accounting for stock ops or -- and stock-based comp, I don't think it'll have much of an effect in Q3 and Q4. There would be some, but I don't expect it to be very much. And I would think that, for 2018 and beyond, our target is to be in the 20% range.
Operator: We will go next to Mehdi Hosseini with SFG.
Mehdi Hosseini: It's Mehdi Hosseini from SIG. I noticed a spike in host materials sale. Is that due to China or how should I think about it? And I have a follow-up.
Sidney Rosenblatt: There are some developmental host materials. It is -- we sample different host materials to customers. There are no customer wins and I do not expect host materials to grow significantly in the foreseeable future.
Mehdi Hosseini: Perhaps, as a follow-up to Brian's question that could be tied into the development of the blue material, correct?
Sidney Rosenblatt: We do develop hosts for all of our materials and we are working on blue, so we will be working on blue host materials also But these are samples, customers ask us for different materials with different emitters, and we do sample them.
Mehdi Hosseini: Okay. And then just going back to the prepared remarks. You talked about the increased visibility with your customers' capacity plans because they have been more specific, especially over the past couple of weeks. A couple of months ago, you announced an increase in your own internal manufacturing capacity, so it seems like the scaling of the revenue is going to gain momentum into 2018 given these developments externally and internally. Is that the right way to think about this?
Sidney Rosenblatt: That is correct. I mean we are scaling up our production capacity at PPG Industries, and that is going as planned. We expect to complete the construction of that in this quarter. And we will ramp our new capacity as demand requires it, but we do expect it to increase our material sales, as this CapEx cycle continues to cause our demand for our materials to grow, and we will have the capacity to meet all of that demand.
Mehdi Hosseini: Okay. Thank you.
Sidney Rosenblatt: Thank you.
Operator: We'll take our next question from Nam Kim with Arete Research.
Nam Hyung Kim: Hi guys. Good quarter. Congratulations. Question on your revised guidance. Based on your midpoint of the new guidance, you're expecting 15% revenue decline in second half versus first half. However, Samsung will be ramping for their external customers big time, and then LG Display plan to ramp up flexible OLED along with increased TV capacity in second half. So in that sense, number looks fairly conservative, but can you explain what assumption you build into your new guidance? And I have a follow-up.
Steve Abramson: That's a fair question, Nam. With respect to new capacity coming online, although there's quite a bit of capacity expected to be installed this year, it's expected to be installed in phases. And while install capacity is a great indicator of our revenue opportunities, what really fuels our materials sales is running capacity. And exactly when and how much each line will ramp, we believe, is still a moving target.
Nam Hyung Kim: Okay. One longer term question. I think there's a lot of talk about inkjet printing in OLED TV panel. And LG Display, they said that they're considering using inkjet in P10 fabs on their announcement in the future. So I'm just curious, what would be the impact to UDC when supplier change their material to [indiscernible] from small marker or from open-mask evaporation to inkjet printing? I know [indiscernible] may not change much, but what would be the key impact to your material like revenue or margin? Whatever you can provide color would be great.
Steve Abramson: Well, vacuum deposition is currently the only commercially viable process for OLED manufacturing. Solution processing methods have been in development for almost as long as we've been around, and they are still in development. The reason is there are a number of significant challenge with this and we believe that, even if solution printing ever does become commercially viable, we do have T-squared OLED materials that would be available for use. As you're aware, we're working on OVJP technology, organic vapor jet printing, which essentially takes vacuum thermal evaporation, which is the process that's being used today and allows you to print those materials without adding solvents and having mass. So that is something that we have been working on, because it does work in using vacuum thermal evaporation, and we still expect that to be the method that's going to be used for the foreseeable future.
Nam Hyung Kim: Okay. Okay. Thank you guys.
Steve Abramson: Thanks Nam.
Operator: We'll go next to Jagadish Iyer with Summit Redstone.
Jagadish Iyer: Yeah, thanks for taking my question, Sid and Steve. It's kind of reference to the earlier question. But if I take -- your materials sales were somewhat flattish quarter-over-quarter, which is surprising given that your key customer is trying to ramp for Apple. I understand that there is a quarter-to-quarter variation, but slightly on a little bit bigger picture, if I take your updated guidance at the top end and back into the licensing for second half, your material sales should decline. Am I right with my math, or is your guidance reflecting conservatism? We'd love to hear your thoughts.
Sidney Rosenblatt: Well, as we stated a little bit earlier, there are volume pricing discounts that impact our revenues. It's product mix, loading rates, material ordering patterns, customer production, efficiency gains. So a number of these are moving targets for our customers, and a number are moving targets for us. While we believe that the trajectory for the year is up, we also believe it's too early to say whether or not our revenues will exceed 40% to 50% year-over-year as we currently project. I mean we will look at the guidance every quarter and revaluate. And you are correct, if you do the math, it looks like that's the case. But we do expect that our material volume trend is clearly up. But some of the other things that I said will affect that.
Jagadish Iyer: Okay. So that's fair enough. Just on a bigger picture question, Sid and Steve; so how are we supposed to look at licensing agreement with Samsung as the first one comes to an end at the end of this year? Clearly, your first agreement did not see the benefit from rising units, so how should investors think about the second licensing agreement, and especially if they start to be a very pivotal player in terms of panel makers, not only for Apple but for others? How should we think about it going forward?
Sidney Rosenblatt: Well, we did have increasing fixed license fees from day one, when we signed that contract. It went from $20 million to $30 million, to $40 million, to $50 million, to $60 million, to $75 million, to $90 million. So we have seen a significant rise in our license fees. And we've had a longstanding partnership with Samsung for almost 20 years and we've signed multiple agreements and we plan to continue to work with them, and we fully expect to sign another license agreement with Samsung.
Jagadish Iyer: Okay, fair enough. Just one quick last question is on the red material sales, it was pretty nice to see the progress, so how should we think about volumes for red going into second half of this year? Thank you.
Steve Abramson: As we stated, that we do expect to see some pricing discounts kick in and -- but we do expect the volume to grow. But to some extent, it's really dependent on then how quick some of the new capacity comes online.
Operator: For our next question, we will go to Andrew Abrams with Supply Chain Market Research.
Andrew Abrams: Hi guys and congratulations also on a great quarter. Just a point of clarification, Sid, understanding the red and green numbers that you gave. Were those for the second quarter just commercial or were they total numbers? And if they are total numbers, can you give us a comparison against first quarter total numbers?
Sidney Rosenblatt: They are total numbers, and I will throw up the first quarter total numbers. For yellow green, total emitters were $32.1 million, down 4% sequentially from the first quarter's $33.3 million. And for red emitters, it's $13.7 million, and it's up 7% from the first quarter's $12.8 million.
Andrew Abrams: Got it, okay. Thank you very much. And also, as far as OVJP goes, have you guys partnered yet with anyone? Or are you still in the -- in your development stage?
Steve Abramson: We're still in our development stage and we're talking to a number of people in the industry to see how we might best be able to commercialize the technology.
Andrew Abrams: And my assumption is that you will not produce any equipment, you're just going to license the technology to an equipment manufacturer, assumingly?
Steve Abramson: Well, at this point, the exact parameters of what the relationship might be hasn't been determined, but I strongly doubt that we will become an equipment supplier [indiscernible].
Andrew Abrams: Got you. And lastly, on Samsung's license or the contract renewal, if for some reason you do not come to an agreement with Samsung on a long-term prospects for both materials and licensing, would your agreement that's in place now stand through 2018? Is that a renewable agreement, if you don't come to a long-term agreement right away?
Steve Abramson: We're focusing on signing the agreement by the end of this year. If the agreements do lag, we'll notify you.
Andrew Abrams: Okay. Thank you.
Operator: We'll go next to Shannon Cross with Cross Research.
Shannon Cross: Thank you very much for taking my question. I guess my first -- and I'm going to back to sort of the guidance comment. I'm just trying to figure out, you've beaten significantly in the last two quarters. You are guiding, it appears quite conservatively. So I'm just trying to figure out how much of the guide is the concerns around pricing and breakpoints versus just we don't know the timing exactly of when the production is going to ramp and therefore, we don't necessarily want to get out ahead of our skis on it. So just if you can give us anything, sort of how you're thinking.
Sidney Rosenblatt: Shannon, that's a good question. We believe it's still early in the OLED multi-CapEx cycle and how it plays out quarter-to-quarter is really not always predictable. And some of the key factors are consumer product demand cycles, contractual volume discounts and product introduction and sell-through. There is something that gets pushed in, pushed out. Run rates, pricing discounts, it is a mix of all of the above that gives us the confidence in our $285 million to $300 million guidance for the year.
Shannon Cross: Okay. So we will look forward to be taking it probably next quarter as well, but that's fine. And then, I guess, Steve, can you talk a bit about lighting, automotive? I mean obviously everybody is focused right now on smartphones and rightly so and TVs, but I'm just curious if there has been any notable developments or things we should focus on with regard to a couple of these emerging markets?
Steve Abramson: Sure. On the lighting market, we're working with a number of different companies, and we're selling our materials to them. And they're working on ways of getting the materials cost effectively into the lighting market and the specific products that may work. So you've seen a number of products over the last few years, QED [ph] selling through Home Depot. Now you're seeing rear tail lights and the like in some automotive applications. I think OLED lighting has tremendous potential, and right now they're experimenting with which products that's going to be able to apply to and the manufacturing processes that can apply to them.
Shannon Cross: Okay, great. Thank you.
Sidney Rosenblatt: Thank you.
Operator: [Operator Instructions]. We'll go next to James Medvedeff with Cowen and Company.
James Medvedeff: Hi good evening guys and girls.
Sidney Rosenblatt : Good evening, how are you?
James Medvedeff: Great, great. Fantastic quarter. Congratulations. So most of mine have been answered, but could you just talk a little bit about trends in expenses?
Sidney Rosenblatt: Sure. In expenses, we expect the overall OpEx to grow in the 10% to 15% range over this year, over last year. That excludes the amortization expense for the IP that we purchased. We are continuing to grow. We are continuing to ensure that we have everything we need to meet all the demand of our customers as this market continues to grow at an accelerating pace.
James Medvedeff: Do you have a medium-term sort of target for operating margin over the next three years, let's say if --
Sidney Rosenblatt: We have extremely high operating margins. Our target, to be honest, is to ensure that we do everything we need to do to make sure that we meet all of the demands of our customers. So it's in the 40% to 50% range, and we fully expect it to stay in that range.
James Medvedeff: Okay. Thanks. And then just one final one, on that breakdown of margins. I believe you said -- I just want to verify that you said emitter -- I'm sorry, material costs of goods sold would have been $9.9 million, excluding the Adesis business. With that record?
Sidney Rosenblatt: That's correct. Yes, that's correct.
James Medvedeff: Great. Thank you.
Sidney Rosenblatt: Thank you.
Operator: We will take our next question from Hendi Susanto with Gabelli & Company.
Hendi Susanto: Good evening Steve, Sid and Darice. There is speculation that one new giant adopter of OLED may postpone its OLED-display version of its new product. How should we think about that? How much flexibility do you have in your supply chain capacity?
Sidney Rosenblatt: We can't comment on this one big customer. That's all discussed. We can do whatever our customer wants. We can accelerate. We are sole sourced. We ship within 24 hours, and we can do whatever our customers want.
Hendi Susanto: And Sid, should we expect that inventories may increase, given the CapEx cycle, from the current level?
Sidney Rosenblatt: Inventories, we will continue to build up inventory. As we continue to expect the capacity of our customers to grow. So we are going to build inventory. We always will ensure that we hit excess inventory. My cost of capital is not that high and we will make sure that we always have enough product to ship within 24 hours.
Hendi Susanto: Okay, let me squeeze one more. Is it reasonable to assume that flexible OLED display is more likely to use your newer version of materials and therefore the initial pricing will be favorable to you?
Sidney Rosenblatt: Well, whenever -- the customers are using newer materials. The materials that were in the Galaxy S1 are not the materials that were in the five or six and not the ones that -- so they're constantly looking at new materials and improving their products. So as they introduce new products, they will give us new specifications and new requirements for us to develop materials to meet their specifications. And that's what we're able to do. We've got the largest OLED phosphorescent development team in the world, and we have got 20 years experience. And we do what our customers ask us to do.
Hendi Susanto: Okay. Thank you.
Sidney Rosenblatt: Thank you.
Operator: We'll take a follow-up question now from Shannon Cross with Cross Research.
Shannon Cross: Thanks. Just a quick question. On cash flow, assuming that the ramp continues and obviously the leverage in your model is significant, and you have a pretty big cash balance right now and you've initiated a dividend. How are you thinking about balancing the uses of cash maybe a year or two out? I know I just gave you a lot of assumptions, but just holistically, how are you thinking about cash given this model should be something that generates a significant amount of cash over the next few years?
Steve Abramson: Well, Shannon, we're really looking to grow this company sustainably on into the future. We're opportunistic when opportunities come along. So if you looked at last year, we spent over $130 million buying the BASF OLED IP portfolio as well as Adesis. And we're continually on the lookout for acquisitions or opportunities that would make sense given our business model placed in the OLED ecosystem. So we continue to look for those opportunities and if they come in on an appropriate basis, we'll then secure them.
Shannon Cross: Okay. Thanks.
Operator: And next, we'll take a follow-up from Brian Lee with Goldman Sachs.
Brian Lee: Hey guys, just with all the focus here on the guidance; and perceived either conservatism or cautiousness, depending on how you're interpreting it, just would be curious if you guys could provide a little bit of commentary. I think, last quarter, you had talked about the consistency of orders you were seeing. And that, I think, was a big part of why you started out the year with a lot of confidence around the outlook. And if you look at the numbers, your largest customer did buy materials at a pretty similar, slightly better rate in Q2 than Q1. And so when you look at this point in the quarter, what type of consistency are you seeing in orders, and how is at all playing into your outlook for the rest of the year? Thanks guys.
Sidney Rosenblatt: It is somewhat consistent, but there still are -- buying patterns are still, from quarter-to-quarter, a little lumpy. The factory utilization rates are lumpy, so we still see differences quarter-to-quarter and month-to-month. So it isn't -- clearly, it's getting better and our ability to predict is getting better based upon the installed base. But there are still capacity constraints that need to have the equipment turned on and, when they turn on, will have a big impact on what our revenue is in the second half of the year.
Operator: We'll take our next follow-up from Hendi Susanto with Gabelli & Company.
Hendi Susanto: Hi Sid. R&D is sequentially lower. Any color on that? And should we expect that to go up again in Q3?
Sidney Rosenblatt: R&D. R&D is -- I would expect it to go up again. There are some issues in terms of quarter-to-quarter spending. We do have a number of contract research organizations that we work with, that we worked with Adesis last year. And the timing of and the amount of work that they do from quarter to quarter is lumpy, so when we may have one task that's completed and we're starting a new task, it may just take some time to get it up and running. I do expect it to go up in Q3.
Hendi Susanto: And then any advice on modeling the CapEx? I'm wondering whether the large CapEx in Q2 represent the largest portion and then therefore there's little left for the second half.
Sidney Rosenblatt: Well, that has to do with the expansion at PPG Industries. We still have a little more to spend there, but it should not be quite as high that it was in the prior quarters.
Operator: Thank you. Well, this concludes the question-and-answer session. I would like to turn the program to -- back to Sid Rosenblatt for any additional or closing remarks. End of Q&A
Sidney Rosenblatt: Thank you for your time today. We appreciate your interest and support. And good night, everyone.
Operator: This concludes today's conference call. You may now disconnect.